Operator: Ladies and gentlemen, good morning, and welcome to the Analyst Conference Call on the Second Quarter and Half Year 2023 Results of Ahold Delhaize. Please note that this call is being webcast and recorded. Please note that in today's call, forward-looking statements may be made. All statements other than statements of historical facts may be forward-looking statements. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in the interim report second quarter and half year 2023 and also in Ahold Delhaize's public filings and other disclosures. Ahold Delhaize's disclosures are available on aholddelhaize.com. Forward-looking statements reflect the current views of Ahold Delhaize's management and assumptions based on information currently available to Ahold Delhaize's management. Forward-looking statements speak only as of the date they are made, and Ahold Delhaize does not assume any obligation to update such statements except as required by law. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold Delhaize. At this time, I would like to hand the call over to JP O'Meara, Senior Vice President, Head of Investor Relations. Please go ahead, JP.
JP O'Meara: Thank you, operator, and good morning, everyone. I'm delighted to welcome you today to our Q2 2023 results conference call. On today's call is Frans Muller, our President and CEO. After a brief presentation, we will open the call for questions. In case you haven't seen it, the earnings release and the accompanying presentation slides can be accessed through the Investors section of our award-winning website, aholddelhaize.com, which also provides extra disclosures and details for your convenience. To ensure everyone has the opportunity to get their questions answered today, I ask that you initially limit yourself to two questions. If you have further questions, then feel free to re-enter the queue. To ensure ease of speaking, all growth rates mentioned in today's prepared remarks will be at constant exchange rates unless otherwise statements -- stated. So with that, over to you, Frans.
Frans Muller: Thank you very much, JP, and good morning, everyone. On today's call, I will cover both our business performance and the key financials. Following our EGM in July, we look forward to welcoming Jolanda Poots-Bijl as our new CFO on October 1. Next week, Jolanda will begin her extensive and immersive onboarding to our company. In the short interim, the finance leadership team will ensure a smooth and successful transition to her. So today, for a change, I will start with the key financial -- we'll start with the key financial highlights and follow up with my usual commentary on the main business drivers and finally, touch on the outlook for the remainder of the year. One of the key ambitions of our Leading Together plan is to grow faster than our historical average, and I'm very pleased we once again did so in the second quarter. Net sales grew 4.3% to EUR22.1 billion, supported by group comparable sales growth of 4.6%. Net consumer online sales grew 9.3%, driven by strong growth at bol.com and further increase in online grocery penetration. Group underlying operating margin was 4.1%, in line with the prior year. A slight decline in our US and European margin was offset by insurance benefits at our Global Support Office. Diluted underlying earnings per share was EUR0.62, up 4.7% at actual rates. The solid operating performance was partly offset by negative US dollar exchange rate effects. Our 2023 interim dividend is EUR0.49, up 7% from EUR0.46 in 2022 as a straightforward mathematical calculation, in line with the group's interim dividend payout policy. In the first half, we bought back 18.9 million shares for a consideration of around EUR560 million, also in line with our EUR1 billion annual plan. On the balance sheet compared to the prior year, net debt decreased from EUR15.3 billion to EUR14.7 billion. And finally, of note, Q2 free cash flow was a healthy EUR864 million, which represents an increase of EUR269 million compared to the second quarter 2022. The main driver of the year-over-year increase was related to the collection of the income tax receivable following an agreement with the Belgian tax authorities, which we outlined last quarter. When starting 2023, we see a clear agenda for our company, ensuring the right balance between navigating the complexities of the immediate environment, while at the same time, positioning the company for long-term growth and success. Reflecting on these, I'm proud of where we are and also very proud of where we are heading. In our formula for success, I see three things that have been critical to this. First of all, being agile and adaptable to meet and exceed customer needs. Secondly, embracing transformation in our operating model. And lastly, continuing to advance our sustainability agenda. As for being agile and adaptable, the speed and flexibility that our brands and associates are showing, adjusting in real time to meet customers' needs underpins the strong culture of care of our company and what our company delivers to our communities. I would like to thank all of our associates for their dedication and always going the extra mile to support their communities, particularly in times of need. Through our brands' loyalty programs, the scale and leverage provided by our global portfolio and award-winning own brand propositions and our EUR1 billion Save for Our Customers program, by those, we continue to help customers navigate these dynamic times. From a top line perspective, Slide 9 captures some of this dynamic where you see the last four quarter trends in comparable sales growth by region. In Q2, US comparable sales, excluding gasoline, increased by 3.6% or 4% excluding the impact of weather and calendar effects. In Europe, comparable sales increased by 6.3%. Excluding the impact of strikes in Belgium, this would have been 7.6%. In the US, powered by growth in loyalty sales and increasing online penetration, we more than compensated for the negative headwinds related to a reduction in SNAP and moderating inflation rates. The hallmark of our company is our great local brands with deep roots in their communities. The GIANT Company is a great example here. This year, The GIANT Company is celebrating 100 years anniversary with 193 stores and 186 pickup points, they serve more than 3 million customers in the states of Maryland, Pennsylvania, New Jersey, Virginia and West Virginia. Already in 1979, The GIANT Company introduced Bonus Buys and everyday low prices, paving the way for GIANT Choice Rewards, award-winning loyalty programs. And today, GIANT has 95% of sales coming from its loyalty programs and has the highest e-commerce conversion rates in the US. Food Lion continued its impressive performance of 43 consecutive quarters of comp store sales growth and the performance of the first batch of the planned 70 remodeled stores in the Wilmington greenfield markets in North Carolina is going according to plan. Construction has already started on the next batch of stores in the Raleigh and Charlotte markets. At Stop & Shop, 17 of the 22 New York City stores have been remodeled. These stores are showing better results than anticipated, both in sales and in household traffic. In Europe, a great example of agility is how we have leveraged our long history and leading position in our own brands. For our total European assortment, we move fast and now have 6,500 EDLP or price favorites SKUs on our shelves, which is up 15% compared to last year. Our Eastern European brands also continued to benefit from the CSE transformation program, the Central and Southeastern European transformation program, in which we are aligning business models, centralizing our sourcing activities, harmonizing own brand and working on other scale drivers. In terms of brand performance, with a double-digit online penetration rate and after crossing 800,000 paid Albert Heijn premium subscribers, Albert Heijn’s omnichannel strategy goes from strength to strength. While food inflation remains high in the Netherlands, 11.5% the last print for July, Albert Heijn continues to invest in the brand's most popular fruits and vegetables to ensure healthy and sustainable products, which are available and affordable for all our customer wallets. Albert Heijn also continues to pioneer new industry innovation, recently launching its own AI start-up called Gen AI Labs. One of their first applications is the recipe scanner. This tool is available via the Albert Heijn app and allows customers to take a photo of a random recipe, which is then automatically converted into a shopping list with Albert Heijn products. Bol.com also stands out for its agility and adaptability, as gross merchandise value, GMV, increased by 10.5% year-over-year to EUR1.4 billion. And this is a big turnaround in less than 12 months since the team overhauled its midterm strategy, again, highlighting the tremendous value of the bol.com company. Bol.com's GMV sales from its nearly 52,000 third-party sellers increased 13% and represented overall 66% of sales. In addition, we see strong partner take-up of our value-added services with advertising services up over 70% and logistics offerings up over 25% compared to last year. If we then move below sales, underlying operating margin was flat with the prior year at 4.1%. In the US, underlying operating margin was 4.6%, and the reduction in the SNAP federal assistance program, moderating inflation rates as well as the dilutive effect of our increased pharmacy sales were only partly offset by lower logistics expenses driven by our continued supply chain improvements. Underlying operating margin in Europe was 3.2% in Q2 and down 0.2 percentage points from the prior year, mainly due to strikes in Belgium and the impact of higher energy costs. Together, these factors impacted European margins by about 70 basis points, 7-0. These impacts were partly offset by non-cash service charge for the Dutch employee pension plan, which decreased EUR15 million as a result of higher discount rates in the Netherlands. Slide 16 shows you our results on an IFRS-reported basis for the second quarter. Our IFRS-reported operating profit and earnings were mainly impacted by charges related to the Belgium transformation and the Accelerate initiative, including impairment charges for store assets in Belgium of EUR108 million, and for the Jersey City fulfillment center of EUR40 million as well as restructuring and related costs of EUR40 million. As I said in my opening, embracing and driving transformational change in our operating model to set our company up for long-term success is one of the critical agendas we are driving this year. Given our big transformation ambitions in new business models, in technology, in automation and in data, we committed to higher investments in tech capabilities to fuel growth, reinforce our long-standing Save For Our Customers program and securing our industry-leading margins. While some of these actions like those initiated by Delhaize Belgium take a lot of courage and are disruptive in the short term, I'm confident these measures will ensure the long-term success of our brands for the benefit of all our stakeholders. So let me give you a quick update on the most important initiatives. Let's start with Belgium and the future plan, which the local management team communicated in March. As stated then, by having all 128 owned stores operated by local entrepreneurs, Delhaize will have a better opportunity to respond to changing market conditions and evolving customer needs. And as announced earlier this week, Delhaize has signed agreements for the first 15 integrated stores, which will be affiliated in October and November. Five of these acquirers already operate other Delhaize markets. Five entrepreneurs joined the Delhaize family for the first time and five acquirers are associates of Delhaize. In total, we have 400 potential acquirers for the 128 stores. Announcements about additional stores making the transition will be made at regular intervals over the coming months. The present development shows the confidence in our brand of Delhaize, but also the care we have to transfer our employees to the new acquirers with the same type of conditions on the labor front. Looking at the US, our Connected Customer strategy and omnichannel transformation continues to deliver exceptional results. Here are a few facts just from Q2. Online traffic was up 13%, primarily from app traffic, which was up 24%. And our focus on personalized offers is paying off with 7% more offers being redeemed per household compared to the same time last year. To sustain the right trajectory as part of our Accelerate initiative, the US teams have taken a close look at the entire omnichannel operations with a view to achieve fully allocated e-commerce profitability by 2025, as we said before. One such concrete action is to orient our online fulfillment capabilities towards more efficient, less asset-intense, same-day delivery models such as click-and-collect. And in line with this, we decided to close the aforementioned facility in Jersey City, which coincides with the lease expiring next year. Instead, we will utilize our existing Stop & Shop store network and partners to service customers with more same-day delivery and pickup options, providing a more enhanced service and leveraging our existing asset base to better effect. Finally, let me spend a few moments on the third critical factor contributing to our success, our commitment to sustainability. We remain dedicated to making progress on our sustainability ambitions and are proud to share that we have achieved a AAA rating from MSCI. Being categorized into the highest rating indicated Ahold Delhaize is a leader in the industry in managing its most significant sustainability challenges and opportunities. This would not have been possible without all the initiatives that our brands are continuously implementing in their organizations. And selection of these examples is shown on the slide. From a holistic perspective, Hannaford is a great example of where our growth and sustainability ambitions reinforce each other. Their impressive performance of 27 quarters of market share gain during the last 29 quarters, is a testament to this. The backbone of Hannaford's success is their ongoing investment in the fresh and convenience strategy, which continues to resonate with customers and is clear -- a clear driver of these great results. Hannaford is deeply committed to the important role they play in the local communities by continuously investing in hunger relief, healthy eating, sustainability and diversity, equity and inclusion initiatives. And this is also in line with Hannover's purpose to be greater than groceries and can be highlighted by some great examples. More than half of Hannaford's own brand sales, which are the highest of all ADUSA, at the 35% share comes from items rated as healthy within our Guiding Stars Nutritional Rating program. Hannaford achieved zero food waste going to landfills in 2021, making them the first large-scale grocer in New England and New York to reach this achievement. And in 2022, these efforts resulted in donating nearly 26 million pounds of food to our anti-hunger partner organizations throughout the Northeastern states. And there is more to come. In 2024, Hannaford stores' electricity consumption will come 100% from renewable sources. Another major sustainability achievement in the quarter was bol.com's attainment of a B Corp center certification. And with 30 million customers and 52,000 local sales partners, we are proud that an e-commerce platform of bol.com's size has achieved this recognition. And finally, I'm a big believer that through creativity and innovation, we can create more transparency and positive impetus at the customer level. And Albert Heijn pilot currently being conducted in the Gen AI Lab is Vega Swap. With this application, you automatically get a vegetarian version of a recipe in the Ahold Delhaize magazine. So -- and so soon, you will be able to opt for an alternative that reduces at the same time, CO2 emissions. So wrapping up for today with our strong culture known for its agility, with our ability to drive transformative change and with our commitment to sustainability, I'm very confident we are all well prepared to navigate the complexities of the current business environment. In terms of what to we expect in the coming quarters, here are a few things worth noting. On a positive note, we see more evidence that inflation has passed its peak, but inflation still remains at more elevated levels due to higher energy, commodity, transport and labor costs. These factors will continue to impact second half of profitability, particularly labor as we implement changes related to our new CLA agreements. While inflation coming down is clearly a good thing for the customer, the consumer environment is still fragile extending from the pandemic. This is clear in the US, for example, where we see the impacts of the reduction in the SNAP federal assistance program on sales growth rates. We expect these headwinds to persist in the remaining quarters of the year, being a low single digit impact on our US comparable growth rates. With the strain on household budgets and dynamics in the political environment, we see a widespread rise in social tensions, which are unfortunately leading to more incidents in our stores. We continue to see different patterns in disruptions from climate impacts such as the buyers in Greece, or in general, more seasonal volatility in weather, which is affecting harvests and supply chains. Nevertheless, from a competitive perspective, this environment plays to the strength of our company and we are well positioned to deal with whatever comes our way. Therefore, taking all the moving parts together, I'm pleased that we are in a position to increase our free cash flow guidance for 2023 to a range between EUR2 billion and EUR2.2 billion and we also reaffirm the rest of our guidance. As I said earlier, I'm proud of our performance and where we are heading, and you can continue to depend on us and our great teams to deliver consistent financial performance, to leverage the strength of our portfolio and to complete our transformation projects, to evolve our loyalty programs and own brand assortment to drive brand strength and relative market share gains, and above all, to remain focused on our central role as an active member of the communities that we serve, offering solutions for every wallet, both online and offline and through offering extra help and care in times of need. With that, I would like to thank you for your continued interest in our company. And operator, please open the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of William Woods from Bernstein. Please go ahead.
William Woods: Good morning. Thanks for taking the question. The first one is on food inflation. Obviously, you've called the peak of food inflation, said that you are past it. But could you just comment on your outlook of how food inflation will trend over the next kind of six to 12 months? Do you think it will last higher for longer? Are you still seeing some kind of structural pressures in some categories? And I suppose any differences between Europe and the US? And then just moving over to the US business. Are you still seeing continued improvement in the Stop & Shop share and continued improvement? And has there een any change in the promotional environment within the brands there? Thank you.
Frans Muller: Yes. Thank you very much for those two questions. And those are also for us, for example, very relevant, of course. Food inflation and the outlook [Technical Difficulty] I heard an echo. I hope -- am I still with you guys?
Operator: You are loud and clear.
Frans Muller: All right. Okay. So if we look at the June inflation, the food inflation in US at 4.5%, but for example, a double-digit inflation in Europe with 11%, 11.7% in the Netherlands. So there's a different rhythm of inflation, but we see in both geographies, inflation is coming down. And we do not expect for the remainder of the year, a negative development, but we see that inflation is coming gradually down. And of course, Europe is more impacted by the war in the Ukraine, by energy and by commodity prices than the US is. If we look at commodities as well another question there, there is a demand and supply commodity view, which is different in US and in Europe. For example, in US and in Europe, by the way, dairy is coming down quite dramatically. Dairy as in milk products, but also as in cheese, as in yogurts, and all these kind of things. Eggs is coming down firmly in the US because the Avian flu is absent, but beef prices are going up in the US. And that is commodity related. In the Netherlands, we see -- or in Europe, we see a little bit more impact of climate. We have quite some adverse climate situation with floods and droughts. So potato and onion prices are going up, because harvests are halfway down. Wheat price is still going up and sugar and olive oil too. Now that is a different situation partly for the US in those categories. So a mix there. What we see overall, inflation is coming down. Can depend, as I just mentioned, by category. The supply chains are getting more professional and more filled there. Also, our supply chain is helping there. So I think for customers, it gives more opportunities to buy the product. If you look at the US business, then we see in the US a couple of things I mentioned in my introduction, a few things on, inflation is coming down in principle, good for households. We see SNAP and emergency funding of the government coming down, not good for households. We see that vendors also are very interested to have, again, positive volumes in their business. So we see an increased vendor funding in our business coming. We see promotional levels going up. The vendor funding in the US is not at pre-COVID levels yet, but we see an increase there. And I think we are a very interested partner for them to invest further with our number one and two positions on the East Coast and our strong business overall in scale. So we see an increased interest in funding there, and that's why we see a more moderating inflation, not going into negative for the remainder of the year. We see more promotional money coming into our business. And I think that should be a good balance for the remainder of the year when we play this right as a company.
William Woods: Understood, thank you.
Frans Muller: Then there was a question on the Stop & Shop performance, before I forget that one. We don't have the numbers yet for the second quarter from Nielsen. The first quarter showed overall for the total company, a 20 basis points gain. We expect an flat outcome for the second quarter, and it will differ by brand. But we have to wait for the news and numbers before we know that.
William Woods: Great. Thank you.
Frans Muller: Pleasure.
Operator: Thank you. We will now go to our next question. And your next question comes from the line of James Grzinic from Jefferies. Please go ahead.
James Grzinic: Yes, thank you. Good morning, Frans and JP. Just a couple quick ones. The first one is, Frans, I think you referenced a new agreement impacting the second half labor costs and how you were just really focused on that. Can you perhaps expand a little bit on the details of that? And then what sort of incremental OpEx inflation you're thinking after that, that you’ll need to back solve? And I guess, secondly, just very briefly, how much of that EUR377 million tax, Belgian tax receipt is built into the new free cash flow guidance, please, for the full year?
Frans Muller: Thank you, James. On labor costs, we had a few CLA negotiations, which came with some disruptions as you might have noticed. That is mainly -- was mainly a topic for the Dutch market or for our logistics business and for our stores. Those negotiations have been closed, that have been closed on sector level. So the total retail sector and we closed those contracts with a 10% increase, which is, of course, historically high, but it's a sector level playing field element. And it means that, we have now a calm social environment here, which is important with the social partners. We have agreements and good agreements. Everybody is back to work. And we also see that the business is developing well. The Albert Heijn business is developing well within a historically strong market share. We see that more and more customers find their way into our stores, and we might be able to later on to talk a little bit about why that is and why our proposition is that strong. In Belgium, we have also strong labor cost increase, not so much CLA negotiation necessarily, but because of indexation, which is also a level playing field topic. And of course, this is burdening the Belgium market already for a longer time. One of the reasons also to see what is a more agile business model for us in Belgium. Then on other CLA topics, there's not a lot of things happening in the US. There's no big CLAs outstanding there. We have a small CLA up, Stop & Shop is a very small one, and we have Giant Food at the end of the year. So I think it's a rather overseeable climate. Yeah, and of course, in retail, it was a level playing field. That's good news because everybody has the same challenge. But I think we have proven in the last years historically that we're pretty good in driving productivity and finding new solutions through technology and digital to make sure that we have smarter solutions, smarter ways of working. And if you look at our stores in Europe, you see all those elements coming in from labor-saving elements, but also be more efficient in working and AI is helping us already here now. Then the second question was the Belgium taxes. All of the Belgium taxes are included in the guidance. So the total amount is in.
James Grzinic: And just on the last point, sorry, Frans, just to clarify, that should be a net EUR377 million, you don't expect any reversal over the balance of the year?
Frans Muller: Just to give you a little bit color on that free cash flow, because it might be a question on more minds in the call here. We gave you a free cash flow guidance, an upward guidance for the full year of EUR2 billion to EUR2.2 billion, which was around EUR2 billion before. And we have a few elements which we know already in the first half. We have a tax -- a tax return of the EUR377 million which is there. We have a number of things in Belgium, which we have to digest. And we also have our Accelerate program, a few topics I already mentioned in this call, but we have an ongoing Accelerate program where we would like to simplify our business, where we would like to make the right choices, where we're on the way to make e-commerce more profitable and profitable in 2025. And those all initiatives, they're running the initiatives which you already know in the first half and the initiatives which are coming in the second half are included in our guidance. So that's why we gave you the guidance, and that is all in, I would say.
James Grzinic: Okay. Thank you.
Frans Muller: Yeah. Pleasure.
Operator: Thank you. We will now go to your next question. And your next question comes from the line of Nick Coulter from Citi. Please go ahead.
Nick Coulter: Hi, good morning. Apologies, there’s two questions. But the first one, just to come back on James's question there on free cash flow. Apologies to labor the point, but I think you're right in thinking that it's on quite a few minds this morning. Could I ask if the EUR377 million was in the guidance already that you'd issued? And then, it’s the right way to think about this is that you're utilizing inflow to kind of get on with the initiatives -- the forward-facing initiatives that you have outlined? And then I guess, if that's the case, what were the underlying drivers to the free cash flow guidance upgrade? And then secondly, another follow-up, if I may, please. Just on whether you expect to see shelf-edge deflation in the US next year? You kind of left us hanging with your comments, Frans, around not expecting negativity or deflation this year. But clearly, it will be a question on people's minds for next year. So if you could talk to the possibility of deflation for next year, noting that wage inflation is still flowing through. And those would be my two. Thank you.
Frans Muller: Thank you. And apologies when I have not been 100% clear. In our guidance -- in our previous guidance, a part of that tax settlement was in, but we didn't know what the outcome would be of that settlement negotiation. So a part was in, and now we have the money in the bank. That's what our conservative view and prudent view is. We only come out when the money is there. So the EUR377 million is now in the bank. So a part of that money was in the guidance and a part was not because we now know the final result of that settlement. The other thing is that I mentioned -- I hope I was clear there that we have an environment in the second half where we have Accelerate initiative, but we also still have an rather dynamic outlook as the total market is rather dynamic. So I'm pretty happy with upping our free cash flow guidance, therefore, and underlying reasons why we think we are optimistic is that we see a better margin profile in Europe. We see also an opportunity to have a better drop down in the second half as well on the working capital performance. And there are a few elements there, which gives us a positive outlook on that free cash flow guidance for the full year. Then the next year inflation, I think, is your question in the US.
Nick Coulter: Sorry, if I can just come back, how much was in the original guidance, if you don't mind me asking specifically just to -- it will be on people's minds in the market, whether this is an underlying upgrade or downgrade for free cash flow? Apologies.
Frans Muller: Yeah. I would say roughly about half was in. And we see, based on the operational cash flow, based on the outlook and based on the full year expectation for Accelerate, we see this ourselves as an upgrade on our free cash flow. But hopefully, we are clear there, but in the end, it's your interpretation.
Nick Coulter: Basically, it sounds like it's a net nil, but you're taking the opportunity to Accelerate. So that's helpful.
Frans Muller: Yeah. Accelerate is a serious program. It's meant to simplify the business. You saw AES, the Jersey facility. You saw our courageous, determined initiative by the Belgium team for our business model reconfiguration. And those are elements there. And that's what we said earlier, when we talk about Accelerate, we would like to simplify, improve our business. In the same fashion that we also took courageous and principled steps on our total supply chain on the East Coast of the US, where we also tremendously changed that supply chain. And it comes with a changing pain, but we're now already in a situation where we have 95% of the supply chain under our own control. The Chester network -- the Chester DC is coming this week, is coming now to the network. So these kind of things are all meant to make sure that we have a more solid, simplified and in the end, a more agile and profitable business, and that's what Accelerate stands for. On -- and that comes with one-time costs and decisions you take based on a very solid business case and good value creation. For next year, inflation in the US, we think it's coming down and it's now 4.5%. It could mean that we have already a zero inflation level this year. So expectations for next year is a little bit difficult. I don't have that crystal ball based on commodities and all these kind of things. But inflation is coming further down in the US, that's what we expect and faster than in Europe.
Nick Coulter: And if there's a deflation environment next year in the US, how do you think about your operating model? And I guess, the context of historically high margins through an inflationary period?
Frans Muller: Yeah. Let's not forget that, when I talk about inflation levels, then we -- I talk about two things. I talk about commodity levels, and that is raw materials price. That's one thing. The other thing is I also talk about stronger support from trade funds from our vendors. And it is a very beneficial income lever, of course. And the other thing what we work very hard on is when you talk about, say, for our customers, our EUR1 billion savings program, that is also accretive, and that is also helping us. And that is what is helping us already for years and to have also very strong margin in the US which people asked us a couple of years, how sustainable is that? Well, with the 4.6% margin also this year in the US, I think we are confident that we are very well positioned, strong brands, strong relative market shares and proactive investments in our business. EUR2.5 billion for the total company, investing in digital, technology, AI, productivity, automation. I think all these elements will help us also for next year even if raw material inflation is coming down.
Nick Coulter: That’s quite helpful. Thank you, sir.
Operator: Thank you. We will now go to your next question. And your next question comes from the line of Andrew Gwynn from BNP Paribas. Please go ahead.
Andrew Gwynn: Hey, good morning, Frans. Apologies, because I'm going to come back to cash flow. And I know you're not the CFO, so again, apologies. But what are the -- what's the total tax payment for '23 anticipated at? In '22, the level of tax payment was really pretty low versus the P&L tax. So I'd assume certainly there was a bit of a catch-up effect in '23. So the total kind of net tax paid in '23 would be very useful for modeling? And then the second question, online does seem to have reaccelerated a bit in this quarter. I think particularly, of course, you called out bol, but even in the US, the e-commerce business is trading a bit better. So do you think we've sort of turned the corner? Is sort of growth officially back? Any thoughts there would be very welcome. Thank you.
Frans Muller: Okay. Give us -- give me a second for the tax question and the position you need. This is not on my heart as an day-to-day CEO, but we'll come back to this in this call. And my colleagues here are looking at the files. On the e-commerce business, yes, I think it's true. I mean with a lower inflation level and still a 9.3% online sales -- net consumer online sales, we're quite happy with that development, and we think also that we gained share both in the US and in Europe. We're also very happy with the 10.5% for bol, where we know that we gained share, although the data on market shares in the Netherlands on e-commerce are rather proxies, but we gained share also in the Dutch market. And another good thing with bol is that we also gained, let's say, a lot of more loyalty with a growth of our logistics viable and our advertising viables or the advertising income is also going up, which, of course, will help also our bottom line. And the third thing is that you see that in bol, we are now going to new categories where we think we can compete even stronger. And we also opened a new warehouse for XL for extra-large items, which gives us the opportunity also to compete in -- more in the areas of big TVs, white goods, big items, air conditioners and these kind of things, which is opening up a new strength in our categories. We are already very strong in brown goods or electronics, but we think that we have here a big opportunity in the market. So I'm very optimistic about our online sales, both in bol and the general merchandise marketplace as well as in our food section.
Andrew Gwynn: And I noticed otherwise this morning, you were talking again about the sort of prospect of listing bol.com. Is that just sort of open thing again at this moment or anything more concrete?
Frans Muller: Sorry, could you repeat that question because I didn't get it?
Andrew Gwynn: I think on Bloomberg this morning, you were talking about the prospect of listing bol. Obviously, that had been a project that's been put on the back burner. So is it still on the back burner? Or is it something which is more active?
Frans Muller: I hope I was very clear this morning with Bloomberg, because I said we interrupted that IPO process, because the market timing was not right. But the project is not off the shelf. And that's why we are happy with the sales development. That's why are we happy with the margin development of bol and also the EBITDA margin development. And we come back to the market with our plans, because the IPO idea is still on the table, when we think that the market timing is right.
Andrew Gwynn: Okay. Very clear. I'll let you come back on tax in due course. Thanks very much.
Operator: Thank you. We will now go to our next question. One moment please. And your next question comes from the line of Sreedhar Mahamkali from UBS. Please go ahead.
Sreedhar Mahamkali: Frans and JP, good morning. Thank you. Just one clarification back on the free cash flow front. I suppose you're now regretting the upgrade and drawing all the attention to it. The question is, have you also, these Accelerate projects, have you brought them forward to 2023, perhaps given the cash inflow from Belgian refund EUR377 million? Is that what's happened here to explain the delta in free cash flow guidance, i.e., why is it only going up to EUR2.2 billion is really the question on all our minds? So does the discretionary nature of these projects being brought forward into 2023 consume some of that away? Is that the explanation? Now to the follow-up. And a couple of questions then, one on the US and one on Belgium. You've talked about continuing lower inflation potentially going down to zero by the end of the year in the US. You've also talked about a low single-digit impact from SNAP in the US in the second half. Taking those into consideration, is there anything we should be thinking about margins in the US? I know, you don't necessarily guide on segments, but just help us understand. Is it reasonable to continue to think the Save for Our Customers and efficiencies from distribution will help you offset any of the pressures and we should see more or less stable profile and more in the US margins or anything else we should be aware of that is on the US margins? And then on Belgium, it is helpful to see the progress of 15 stores in the next couple of months into franchisees. What are the next steps for the remainder of the stores? And is there a timeline? And does the transfer of 15 signal you're now able to really confidently assume some timelines into rest of the -- to transfer rest of the estate to franchisees over the coming months? Thank you.
Frans Muller: Well, there's a whole shopping list, Sreedhar, but let's start with this. Thanks for your interest in the company, of course. I think brought forward of initiatives, I think, is not the way we think about it. What we think about, we have more determination. So looking at the dynamic environment, looking at our strength of our P&L and balance sheet, we felt it's the right timing now to have more determination, attack a few of these kind of things, which on the longer run -- in the mid and longer run -- longer term are simplifying our business, make it easier for us, reduce our cost and in the end have a benefit for both customers and bottom line. So that is more the effect there. And as I said before, we take into account here the first half and the second half Accelerate projects. And one of the things as you know is also to bring our e-commerce to profitability. And so those is one of the element of determination too. Then the Belgium situation, we have announced Monday, 15 stores being signed, out of the 128. I consider that to be good news because, first of all, we have first-class entrepreneurs coming into the network, 15 of -- one-third existing entrepreneurs who already work with Delhaize and one-third new entrepreneurs and one-third entrepreneurs coming from our associate base. And it gives a lot of confidence to us and to the market that people see, hey, this is a great brand to be an owner of and to be an affiliate here, which is one good news. The other good news is that we also have very clear agreements with our associates, who are moving to an affiliate environment and where we kept the labor conditions as they were because that is how our values are organized. And they also get a transition premium as well. And I think also, I could imagine that gives us a level of comfort to our social partners as well that we do this in a very careful way when we have those employees transitioned. On margin stability, with all the programs we run, we talk about Accelerate, we talk about Save for Our Customers, that's, of course, our intention to have a stable margin environment in the US. And I mentioned before that we intend to come back to historical margin levels in Europe, and they are not there as you have seen and with the initiatives we run in Europe and the energy, hopefully which will be much more released next year in 2024. We hope also that those margins are also coming back and bouncing back to historical levels over time. On the tax question, we paid taxes in 2022 of around EUR400 million and we are going to pay taxes in 2023 about EUR240 million. And for this year, that would mean a low 20s ETR.
Sreedhar Mahamkali: Frans, if I can very quickly follow up on the Belgium. Is there a clear pipeline now of transfers coming through? Or is it all subject to further negotiation?
Frans Muller: Sreedhar, we embarked on this project, which has been initiated by the Belgium team and very much endorsed and supported by the group, of course. And this is -- it's a big project with quite some impact and impact and uncertainty for people and for customers and potentially for entrepreneurs. So that's why we have engineered this project very careful and thought this through up to the end. So that means that gradually, over time, we will franchise or affiliate those stores. And gradually over time, we also will convert them from a company-operated operation into an affiliate organization. The first 15 announced. I expect another 15 also for this year. The first 15 will be converted in October, November. And the second 15 will also be announced this year, but it will bring us into 2024. We have a big interest in those stores because we have super locations. You can imagine when you're 155 years in business, you are one of the first companies who could choose locations. Our locations are extremely of very high quality. So there's a big interest on 128 stores. And we go now batch by batch gradually over time with a finalization in 2024. And I'm very confident this will go well. The first 15 stores are completely in line with our business plan, but also very much in line with both the affiliates interest. So we have good entrepreneurs who are excited about becoming the owner and the entrepreneur in the Delhaize store. And we have also positive feedback from our associates, who see what it means to transfer to an affiliate owner and also how we treat them from a human and contractual point of view. Was that a clear enough answer, Sreedhar?
Sreedhar Mahamkali: Thank you, yes.
Frans Muller: Yeah, pleasure.
Operator: Thank you. We will now to your next question. And your next question comes from the line of Robert Vos from ABN AMRO ODDO BHF. Please go ahead.
Robert Vos: Yes. Hi, good morning. Thanks for taking my questions. My first question is on Europe. Your 3.2% EBIT margin was quite strong, stronger than expected. When looking also at consensus, I thought you said earlier that the impact from energy cost should be a bit easier in the second half, likely also no -- or a smaller impact from strikes in the second half. You mentioned that in Q2, the impact was -- of these two was 70 basis points negative. Is it fair to assume that sequentially, the EBIT profitability in Europe should be higher than the 3.2% reported in Q2 in the next two quarters? That's my first question. My second one is on the US. You mentioned an expected low single-digit impact on growth from the termination of SNAP programs. I assume that this had also impacted growth in Q2 negatively. Can you quantify? Was it a similar effect to a low single-digit impact on growth from the termination of SNAP earlier this year? Those were my two questions. Thank you.
Frans Muller: So thank you for those two questions. On SNAP, yes, also in the second quarter, we had a 2 points effect from the SNAP calibration by the government. That's also, of course, also an industry-wide phenomenon. And that is -- it's a negative for those families with the smaller wallets. So that assumption is correct. And the other assumption you made is, will we have for the second half the European margin an uptick effect, a better European margin. That assumption is also fair.
Robert Vos: That’s very clear. Thank you.
Operator: Thank you. We will now go to your next question. One moment please. And your next question comes from the line of Fernand de Boer from Degroof Petercam. Please go ahead.
Fernand de Boer: Yes, good morning. It's Fernand de Boer from Degroof Petercam. Sorry for coming back on the cash flow comments. But in the previous quarter in the conference call, I thought it was Natalie, who actually said that this EUR377 million was not included in the cash flow guidance of EUR2 billion. So could you please clarify if you now say, half of that was included in the cash flow guidance? So what -- which one is not correct then? And then coming back on Belgium, because I thought in the press release of Monday, Belgium Group -- Belgium -- Delhaize Belgium, it was said that everything had to be completed, let's say, before 2028. And also this morning, there were quite some press articles on, let's say, the franchisees -- the existing franchises not happy with the changes in the conditions you are preparing when their contract expires. Could you comment on that? Because it seems now that there are -- the new ones will have different conditions than the old ones. And what's the risk here of things getting disrupted?
Frans Muller: So, thank you, Fernand. I think, I can clarify a few things here, which might have been confusing for whatever reason. We checked here internally and Natalie did not say -- has not said that there was no tax at all included in the guidance for the first half -- in the first half. So what we shared with you now that half of that amount was assumed in the full year guidance knowing that we do not -- did not know what the settlement exactly will be and what would be landing on the bank account. So that's one thing. So the 50%, what we have mentioned before is the right understanding. On the Belgium stores, we have those negotiations with the entrepreneurs. And we have high interest from the market, as I mentioned before. So I'm very confident that we will have a good closure here. This project will take us up to 2024. What we said in the press and for -- also for our social partners to be very clear there that if the -- in the rare case, that we would not close one of these 128 stores that we would carry a company operated of that specific store or stores in the rare case up to 2028. So we gave an operating guarantee as a company that we would have employment and operating store up to 2028. We intend and we have a big interest here. We intend and to expect that in 2024, we have transferred, signed and converted all the stores.
Fernand de Boer: Okay, thank you very much.
Frans Muller: So that is on that part. And yeah, I mean, the other thing is store wise, it is a store-by-store operation. And of course, though, there's a lot of moving parts and moving elements in a store location and the leases and the equipment and the contract. So that I think is normal. But I think we have a very smart entrepreneurs in Belgium and we have a good organized Belgium team, so that we make the right conclusions here for both parties and that we have a mutual interest transfer here.
Fernand de Boer: Okay. Thank you very much.
Operator: Thank you. We will now take our final question for today. One moment please. And your final question comes from the line of Izabel Dobreva from Morgan Stanley. Please go ahead.
Izabel Dobreva: Hello, good morning. I'm sorry if the questions have been asked, because I missed some of the call, my line disconnected. But I have three questions. So firstly, on the free cash flow guide. I'm sorry to come back to this, and I'm going to try to simplify the earlier questions. I guess what's really on our minds is, are you upgrading the operational free cash flow guidance? So if we strip away the tax, the restructuring costs and so on, are you upgrading your expectation of what the business will operationally deliver from a cash flow perspective? And if so, where does the delta come from? That's the first question. Then my second question is on private label penetration. How would you expect this to evolve in a disinflationary environment? Do you think that the gains in penetration, which you have reported are going to be sustainable and durable or do you expect to see a little bit of a reversal as the inflation rates start to come down and the cash flows are under less pressure? And then my final question is on the US margin. I think, last quarter, you mentioned that there were still some small tailwinds to come from shelf availability improvements as well as normalization of the supply chain. I was just wondering if you could give us an update there and whether you see any further benefits to come to the margin from those two factors over the second half?
Frans Muller: Thank you, Izabel. And we forgive you that you're a little bit later and that you have not heard everything. But I think I'm happy to once more give you a little bit more clarity on the free cash flow. On your question, is the upward guidance of the free cash flow also fueled by a positive view on the operating free cash flow? The answer is yes. The second thing is, on the margins in the US and supply chain and shelf availability, I mentioned why we believe that we will have a strong US margin also going forward because we have strong positions and all these kind of things in the marketplace, which we already proved for many quarters that we have a strong business and therefore, a market-leading margin in the US. But we also said that we have -- we spent money with Accelerate, and we have initiatives with Accelerate, which are focused on simplifying the business and making the business more agile and in the end, also more competitive. We have a lot of investments in digital and tech and AI, big initiatives with PRISM in our US business, the loyalty programs getting better quality, we get more media monetization income. We have, Save for Our Customers program, which is very strong. So there are a lot of elements where -- which give us the confidence that we can stabilize -- have stabilized US margins and supply chain plays a role there. And what I mentioned before, 90%, 95% of our supply chain is now self-distributing with the Chester warehouse coming to the family, and we see a better effect on availability. We see a better effect on freshness. We see a better effect on working capital and more to come in the second half of this year is our expectation. There's still a few categories industry-wide, which are weak. HPC is still not easy on availability. And pet food is not easy on availability, but that is not our issue, that is the industry's topic. So I think, yeah, I think I'm positive about the positioning of our US business, the online penetration of our business, so I'm quite optimistic there. Your last question, what was your second question, the private label penetration levels. What we see, we see different views in Europe and the US. In Europe, and most of you know, we have a 30% penetration level in the CSE countries and roughly 50 plus in the Benelux countries. And we see in those countries a stronger demand for our price entry products, the price favorites, 6,500 in Europe already on the shelf. The 2,000 at Albert Heijn, 1,000 in Belgium and also the CSE countries are following suit. And those products are great value, but also great quality. And why do I say that last, because that means if, for example, inflation is coming down or households would get more income -- available income, disposable income for groceries, I don't see those shares coming down. First of all, we have apart from price entry, we have also in the mid-section and the highest section of private label, very cool and interesting products if you have a little bit better wallet. And the price entry products is our very well-priced products, but also at the same time, very good quality. I mentioned in my text, award winning and that is not just a brag, we have brands which are chosen in the Dutch market as the best private label product, the price favorites product. For example, detergents, dishwasher tabs and these kind of things. And we see indexes of the products of 200%, 300% in volume. So I don't expect that those private label penetration rates will go down. Good products, price entry, but people might, within our private range, move up when there's more income into mid-tier or higher-tier elements of our private label range. So -- and I think coming back to the US, I think in US, we still have an opportunity to grow our total private label sales, which we see now growing, by the way, small dip in COVID, we see it now coming back and we see it growing. And if we look at the plans of the US team on private label, both in fresh and in center store, I see an upward potential there, and that is also there to stay, I think, and that is because, yeah, I think those products have a very good price quality proposition. Were those answer to your questions, Izabel?
Izabel Dobreva: Yes, thank you very much.
Frans Muller: Pleasure. And then, operator, thank you very much for your support today. We would like to close the call.
Operator: Thank you. I will hand the call back to JP for closing remarks.
JP O'Meara: Thank you, operator, and thank you for all your questions. For questions we didn't get to today, please feel free to reach out to the IR team during the day, and we look forward to seeing you guys on the roads tomorrow and also throughout September and October. Thank you very much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.